Operator: Thank you for standing by and welcome to the Frontier Group Holdings' Second Quarter Earnings Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is recorded. I would now like to turn the call over to your host Mr. David Erdman, Senior Director of Investor Relations. Please go ahead.
David Erdman: Good afternoon, everyone and welcome to our second quarter 2023 earnings call. Today's speakers will be Barry Biffle, President and CEO; Jimmy Dempsey, EVP and CFO; Daniel Shurz, Senior Vice President, Commercial. Each will deliver brief prepared remarks, and then we'll get to your questions. But first, let me quickly review the customary Safe Harbor provisions. During this call, we will be making forward-looking statements, which are subject to risks and uncertainties. Actual results may differ materially from those predicted in these forward-looking statements. Additional information concerning risk factors which could cause such differences are outlined in the announcement we published earlier, along with reports we filed with the SEC. We will also discuss non-GAAP financial measures, which are reconciled to the nearest comparable GAAP measure in the appendix of the earnings announcement. So I will give the floor to Barry to begin his remarks. Barry?
Barry Biffle: Thank you, David, and good afternoon, everyone. Despite challenging operational conditions, we generated strong second quarter results with a pre-tax margin of 9.1%. Our highest post-pandemic margin on an industry-leading capacity growth of 23%, compared to the prior year quarter. Our continued focus on cost management help drive a beat on our non-fuel operating expense. Our total cost structure is significantly lower than the industry average generating an advantage of more than $70 per passenger today.  Our cost structure is a key element in underpinning our growth strategy and I'm proud the organization has continued to ensure we remain the leader among our peers.  Ancillary revenue continued its strong performance during the second quarter, achieving $80 per passenger, $5 higher than the comparable quarter last year. We expect our industry-leading ancillary platform to continue to provide us with pricing flexibility to tailor our suite of products and services to our customers’ needs.  It also enables us to maintain low fares and enhance engagement and loyalty with our brand. Our GoWild All You Can Fly Pass is a great example. Since a substantial number of our pass holders do not have prior travel history with Frontier, we've had the opportunity to expand brand awareness and preference, along with driving incremental revenues as these customers engage with our other loyalty platforms such as Discount Den, our co-branding credit card, as well.  It's a key part of our strategy to increase the contribution from loyalty and subscription-related products. As we look to the third quarter, we expect a moderation in fares largely due to the increase in competing long-haul international travel flows. To better understand this phenomena, we recently surveyed our Frontier customers.  Survey found that 5% or more of our customers have traveled or plan to travel to Europe versus last year. We estimate this environment to be a three-point temporary headwind on a pre-tax margin basis. Encouragingly, our survey also revealed over 90% plan to travel the same or more with over half planning to travel more on a go-forward basis giving us the confidence that once the balance shifts back to domestic, we believe RASM will normalize.  Turning to the operational environment, the challenging conditions experienced in June continue to cause an historically elevated level of cancellations. Weather across the United States, in particular, in Florida, has produced record air traffic control delay programs resulting in the cancellation of over 3% of our flights in July.  We are incorporating ATC constraints into our network design going forward and we expect this environment to impact our third quarter pre-tax margin by approximately three points. Accordingly, we anticipate our third quarter adjusted pre-tax margin to be 4% to 7%.  With the lowest cost structure of any carrier in the United States and we are focused on sustaining that advantage with ongoing induction of the hi gauge, fuel-efficient, A321 Neo aircraft and by leveraging our high utilization capabilities to drive low fares and stimulate demand.  With that, I'll hand the call over to Daniel for commercial update. 
Daniel Shurz: Thank you, Barry, and good afternoon, everyone. Total operating revenue for the second quarter of 2023 was $967 million, more than 6% higher than the prior year quarter. RASM was down 14%, 10% on a stage-adjusted basis. From a strong prior quarter, our capacity growth was 23% over the same period and an 8% increase in stage length.  Revenue per passenger was $127, 9% lower than the 2022 quarter, during which time fuel prices were 40% higher and post-COVID domestic travel demand surged. In May, we launched promotional and other GoWild seasonal product, the fall and winter, pass for travel, from September through February. The pass included access to more than 85 US and international destinations.  Furthermore, lastly, we put the new GoWild monthly pass on sale, given even more customers the opportunity to enjoy the best value in air travel.  Turn to a brief network update. In the second quarter, we launched 26 new routes, originating from Atlanta, Baltimore, Chicago, Midway, Cleveland Detroit, Houston, Orlando, San Juan, St. Thomas and Tampa. These new routes were all added to existing Frontier airports, which increases our customer appeal in key markets.  That concludes my remarks and I’ll now yield the call to Jimmy. 
Jimmy Dempsey: Thank you, Daniel second quarter results reflect a pre-tax margin of 9.1%, a post-COVID record. The results reflect strong demand throughout the quarter and diligent management of our cost base. Revenue increased 6% on a 23% increase in capacity, while fuel expense was in line with guidance at average cost per gallon of $2.69. Adjusted non-fuel operating expenses were $644 million, beating guidance or $6.09 on a unit basis, 5% lower than the 2022 quarter. We ended the quarter with $780 million of unrestricted cash and cash equivalents or $350 million net of total debt.  In addition to our cash bonds, we also have access to substantial liquidity through our unencumbered loyalty and brand-related assets. We had 126 aircrafts in our fleet at June after taking delivery of three A321 Neo aircrafts during the quarter, two of which were financed with direct leases. Having already experienced significant aircraft delivery delays across the first half of the year, Airbus has informed us that any further delays should be modest. As such, we expect to end the year with 136 aircrafts.  Turning to guidance, third quarter capacity growth is anticipated to be in the range of 21% to 23% over the 2022 quarter, while full year 2023 capacity is expected to affect growth of between 19% to 21% over the prior year.  Fuel costs are expected to be between $2.80 and $2.90 per gallon in the third quarter and $2.90 to $3 per gallon for full year 2023 based on the blend of fuel curve on July 24th. Adjusted non-fuel operating expenses in the third quarter are expected to be between $650 million to $665 million and $2.535 billion to $2.585 billion for the full year. This range incorporates the costs related to our challenging operating conditions.  Finally, reflecting Barry’s earlier comments on the operating environment, adjusted pre-tax margin in the third quarter is expected in the range of 4% to 7% and 4% to 6% for the full year.  With that, I'll turn the call back to Barry for his closing remarks. 
Barry Biffle: Thanks, Jimmy. I want to personally thank team Frontier for their dedicated service during the quarter in a difficult operating environment and for delivering low fares done right. We remain focused on controlling the things we can control to run a sound operation, despite challenges posed by extraneous factors. Our competitive edge lies in sustaining our cost advantage over the industry and we intend to utilize this advantage to simulate leisure travel demand and maximize shareholder value.  I want to be clear, while we're disappointed in our projected results, I strongly believe the company will return to double-digit margins given that most of the headwinds are temporary. I want to thank everyone again for joining this afternoon and we're ready to begin the Q&A portion of the call. 
Operator: [Operator Instructions] Our first question comes from Brandon Oglenski of Barclays. Your line is open. 
Brandon Oglenski : Hey, good afternoon and thanks for taking my question. So, Barry, I guess, can you expand on that a little bit, because you had been guiding I think for like 10% to 12% or 10% to 13% pre-tax margin the back half of the year. This seems like you're pulling that back somewhere around 4% to 6% at the midpoint. And I think you did mentioned three points from restructuring operations around Florida and ATC. So can you maybe dive deeper into that, please? 
Barry Biffle : Yeah, sure. It's pretty simple math. We laid out - we had put out a 10% to 13% expectation for the second half, and we are seeing roughly three points in the operational challenges as we discussed. The ATC ground delay programs, and so forth. And we're seeing an additional three points in the revenue environment, which is primarily driven by the shift to European travel. So that pretty much explains the six points. I think it might be a little bit more fuel in there, as well but that explains it all. 
Brandon Oglenski : What – I guess, Barry, can you talk about the changes around those operational challenges, because it looks like your capacity guidance maybe didn't move all that much. So does this go beyond just capacity? 
Barry Biffle : No, no. This is this is just simply - it started a little bit in May, but really took effect in kind of your mid June time frame and it’s continued through the last six weeks pretty heavily. We see maybe even a similar storm event. We will see ground delay programs start hours and hours before with significantly longer and lots more minutes.  And so, we planned our airline in the past and we had roughly three hours of buffer built in. And we're seeing consistently with these kind of ground delay programs, we need around four hours. So, we've made some tweaks to it. But there's no real immediate fixes that will fix this in the near term until – but when we look forward to next year, and beyond, we will start factoring this into our plans.  The reality is that ATC is just issuing more ground delay programs and they're at lasting considerably longer than we've seen in the past. And so we've got a plan for that. But in the meantime it's a drag and so we can kind of schedule around with the fuel. 
Brandon Oglenski : Okay. Appreciate that, Barry? And then, Daniel, maybe can you expand on the European comment? Overseas travel, this is not the first time we've heard it this quarter. Should we be thinking that folks have more propensity to travel internationally this year than they will next year? 
Daniel Shurz : Look, what we know, Brandon is that, as I said our customer, we surveyed our customers air traveling to Europe more, but this commonality from, others, there seems to be there is seems clearly pent-up demand for long-haul international travel and from a US point of origin perspective, that skews very, very heavily to Europe.  We don't know. We don't know, what we don't obviously know exactly what's going to happen in the future, but what we've seen in pent-up demand – what we’ve seen in pent-up demand Germany is the first time you see that pent-up demand. That's one of the strongest and it tends to ease off as you go forward. 
Brandon Oglenski : Okay guys. Thank you. 
Operator: Thank you. One moment, please. Our next question comes from the line of Duane Pfennigwerth of Evercore ISI. Your line is open. 
Duane Pfennigwerth: Hey, thanks. Just on network development, couple questions. On your planning horizon and how that relates to the booking curve, we're a little surprised to see large changes to October here in early August or late July granted they were capacity adds or they're not deletes. Can you just talk a little bit about how your network planning process has changed?  And how you see it evolving over time? What prevents you from planning with stability kind of further out? Or are you waiting to see aircraft availability et cetera? And I guess, most importantly, do you think this costs you at all from a sort of long-term bookings curved perspective? Or is all the action kind of close in? 
Daniel Shurz : Okay. Duane, Well, I'll unpack that. Look, I think Paul, we have made tweaks to our schedule and some of our schedule rules and schedule design rules to try and address some of what we've seen in the operational environment we're going through at the moment.  We made those changes, we made those changes as close than as we could that did that did cause us to be somewhat to get somewhat behind on actually loading all of our schedules that particularly affected us, actually, September that have most significant effect.  That we're expecting that to be sort of a relatively one-off. We're actually moving forward to adding the capacity we want to add earlier, but we did want to make sure that we did make adjustments that we needed to make. We need to see improvements obviously in this. And we've made some improvements, we think, but we made some changes that we can improve operations. From the the booking curve perspective, it's a very minor impact.  We are seeing - we see most of our volumes are much closer in the math. There's a small impact, but it truly is small. And going forward, as we get schedules on sale further out it just extended our schedule for New Year and that impact will go away altogether. 
Duane Pfennigwerth: Okay. Thank you. And then, just with respect to the booking curve, at least one carrier in the U.S. talked about kind of the surprising strength close in. But that they basically didn't assume that going forward for the rest of the quarter. Does that ring true to you? And what assumptions have you made with respect to kind of closing bookings for the balance of the quarter? 
Daniel Shurz : We have a value proposition of – very well from a close in perspective and we've seen continued impairment. We have seen a continued trend since the pandemic or since pandemic recovery in 2022 of strong close in demand. Our anticipation broadly speaking is that that will maintain relatively similar to the way we've seen it over the last number of months. 
Duane Pfennigwerth: Okay. Appreciate the time. 
Operator: Thank you. One moment, please. Our next question comes from the line of Michael Linenberg of Deutsche Bank. Your line is open. Again, Michael Linenberg your line is open. 
Michael Linenberg: Great. Hey, good afternoon everyone. Hey, I guess, one part - one question here, but sort of two parts. When we think about your network and we sort of think about what percent is under development, I'm trying to get a sense of what percent can we look at a same-stores basis? And then, what would be new? There's obviously - I know you're in a lot of seasonal markets and so they go away and they come back.  How should we think about like, if I were to look at your market today, take a snapshot like what percentage is under development are relatively new markets, may be something that's been added in the last 12 months?  And something that's not seasonal that that comes in and out every six months out of the year, it's in six months out. Can you give us a better sense on that? I guess that would be to you Daniel and I have sort of a follow-up tied to that. 
Daniel Shurz : So, first I want to mention with regard to this is, we are obviously growing at the moment faster than our intended medium term trend line growth. We've committed to mid-teens growth being our standard medium term trend line. And as we kind of come out of COVID, we are to recover capacity and we're continuing to grow up and we are continue to grow this year at a rate in the 20s percent.  So that tended to push this up on and rapidly scrambling to get you an actual number. That is already, but we are - But look, we're always going to have our - we are going to tend to have a higher percent of the network in development broadly, because we are growing and we have a - we are always looking to add – we are always looking to add new capacity. And it's – look, the thing at the moment is we are adding new airports to the network. We are adding join the dock service around the country. I'll get back to you on the other exact on the current percentages. 
Barry Biffle: But the only thing I would say is look, if you're in the 20s on growth, that just tells you right there, that is all new and then, at every given moment, you've got anywhere from 15% to 35% of your implying you did a year before that didn't work. So you redeploy it. That's kind of how growth airlines work. And so, that's going to push you, I'm just say 20% or 25% from last year 30% actually. So you're in the over 30% is immature, 
Michael Linenberg: Okay. 
Barry Biffle: And so, yes, we have a significant amount and I think this is an underappreciated part of Frontier. I mean, people have picked on us about underperforming our historical margins, but I think what people don't grasp is that, when you're growing and 10 plus points higher than your target rate and you take a 20% to 30% discount on that that's just a flat-out three-point drag on margin and it could likely be even more just simply because you're also still coming out of COVID.  So, but that's a long way of telling you. Yes, it is over 30% in the immature stage and that will come down as our growth moderate into 2024 where we're now expected to be in the mid-teens, mid to upper teens. 
Michael Linenberg: Okay. And the reason I was asking, Barry and Daniel is that, look, you've done a nice job on ancillary, right? I mean you're up, year-over-year five bucks moving, you're at 80 now. But when I look at the base fares, you're down almost $20 and so the question is, what you're making up on ancillary, you're losing on base.  And presumably, you're a growth carrier and demand stimulation, but we're also in a pretty high inflationary environment and we are seeing average fares for a lot of carriers they're flat up and now they're moderating as we move forward.  But to see that down as much as it is in the June quarter, presumably that's because they're like, you said, you're in a lot of relatively new markets call it a third. And so, you're engaging in demand stimulation, which is your model I guess. And maybe, maybe I'm answering your question or maybe I'm missing it. If there's anything you can add on that, because that's a pretty meaningful drop on the base fare. 
Barry Biffle: Look, we are very aware, Mike and that is why we're extremely focused on getting back to double-digit margins. And a big part of that is getting our growth rate normalized, and we're largely back to a normal growth rate once we get to 2024. Yes, we have swallowed a lot of capacity to get the utilization back and, and we're finally do most through that. And yes, it has a corresponding impact to fares and we need that to stimulate.  The good news is, we're growing everything, whether it be your emails, your frequent flyers your Discount Den members should go out. So the good news is that, those things are keeping up with our growth. And so as that moderates, we expect to see the benefit of that as we move into 2024. 
Michael Linenberg: Okay. Okay, very good. Thanks everyone. 
Operator: Thank you. One moment please. Our next question comes from the line of Jamie Baker of JPMorgan. Your line is open. 
Jamie Baker: Hey, good afternoon, gentlemen. So, appreciate the Airbus commentary before. Just wondering if you have any specific GTF-related assumptions embedded in the forward six months guide? Or if it's just business as usual? 
Barry Biffle: So, thanks, Jimmy. We don't have any of the engines and in fact the ones that were impacted were manufactured through September of 2021. We did not take an aircraft - we didn't take a GTF until actually year later. And that actual engine was manufactured, both those engines were manufactured in May of ‘22. So, we are about six to eight months past the risk profile of those so. 
Jamie Baker: Good. Good. And, looking forward, later this year, when you give us some color on 2024 costs, any updated thoughts on whether you may choose to accrue for new pilot economics or are you still debating this internally? And I suppose more importantly, when you think about your earnings profile once pilot costs are mark-to-market, do you think about the network any differently? I mean, basically, do you envision flying any differently? Or is it just as simple as, hopefully, raising fares in hopes of preserving margins. 
Barry Biffle: Look, so, I think there's a couple things. One we're very early. I know there was a group of you asking another airline about whether they should include it and their contract I think had been open for several years. We're not in that situation so, right. So it's very early, we just had our first meeting. So I don't think, I think we're a little premature on that. But let's just talk about, yes, we are going to pay our pilots more at some point. We're going to pay all of our workers more at some point.  And so that's why we're constantly innovating and looking for ways to improve our situation. So, I'll go back to previous question about moderating growth. That's going to be worth several points right there just in RASM to help pay for it. We can get past the current operational environment or at least, I don't know that we'll get past the operational environment because I believe that the forecast is, is the ATC staffing stays low for a few years, but we can plan around it much better.  And so, I expect that by 2024. We made some close in tweaks. But when you, like any plan and you are a airline geek. 
Jamie Baker: Yeah. 
Barry Biffle: I know, I know, you know the network works. The more - the sooner you know the inputs to putting together a plan, the better and the more optimized it is. So as we think about 2024 and probably really are spring and beyond which is most impacted, just simply because of the weather-related impacts. We are going to build from the ground up completely different firebreak assumptions and buffers.  So, you would expect that we would get the majority of this benefit back by planning around the operational impact. 
Jamie Baker: Got it. 
Barry Biffle: And then, and then, as you, well know, and I think we've probably been the leaders in ancillary and revenue-related pipeline. So, we've got kind of a robust pipeline there. So I believe that we will have by the time we get new labor contracts, we will have ample capacity to pay for it with all the things that we have in the tank to expand our margins. 
Jamie Baker: Okay. Very helpful. Thank you. 
Operator: Thank you. [Operator Instructions] One moment for our next question. Our next question comes from the line of Savanthi Syth of Raymond James. Your line is open. 
Savanthi Syth.: Hey, good afternoon. Can I ask so, with getting to kind of mid to upper teens in 2024 in terms of capacity growth and making some of these changes to ATC, I'm guessing you'll have some improvements in kind of Iraq costs and things like that. But like putting all that together what's your kind of revised view on what CASM what you can get CASM X to be in 2024. I know it's really early stages, but generally kind of what's your revised view on CASM X here? 
Jimmy Dempsey : That's obvious. Jimmy me here. We haven't published a view on CASM going into next year. I mean, at the moment, we're just putting together our capacity plans, so that we can get an idea over the next couple of months on where we think directionally CASM is going given some of the changes that we have. What we're really focused on is, sustaining the differential we have to our – in the last quarter, we’re comfortably $70 per passenger and lower cost on all of our competitors across the average of the aviation space in here in the states and we would anticipate that we sustain this going through next year.  This year, our CASM is probably slightly above six and a half cents. We would anticipate that going into next year, it'll be in that area code. And one of the things that's benefiting us going into next year, is the more normalization profile of Airbus deliveries that we expect across 2024 in comparison to 2023. So that will help us. 
Savanthi Syth.: Okay. Thanks for that. And then, last quarter you talked about, kind of reshaping capacity. I was wondering if you can provide an update on if you know how that's playing out. I realized kind of your overall revenue - pricing environment is softer, but generally how has kind of the capacity reshaping been playing out?
Daniel Shurz: Well, so the first month, where we see an actual significant amount of our capacity shaping is actually going to be the month of September. That’s the first month with the most significant discussion. We continue to see in the same travel demand pattern.  And we continue as we look at what's happening with September bookings, we do absolutely see the day of week happens that we described when we announce these changes. And so we are confident that we have the right approach to take and we're continuing to roll it out as we roll out schedules into 2024. 
Savanthi Syth.: Okay. Appreciate it. Thank you. 
Operator: Thank you. One moment, please. Our next question comes from the line of Ravi Shankar of Morgan Stanley. Your line is open. 
Katherine Kallergis: Hi. Good afternoon, everyone. This is Katherine Kallergis on for Ravi. So thank you for taking my question. I wanted to just quickly follow up on a previous question asked about international travel pressuring the shorter haul that you are guiding towards in 3Q. Just curious your thoughts around whether or not this might reverse in Q4 as the holidays are typically more favorite towards visiting friends and family.  And whether or not that's something you're baking in for the full year assumptions? Thank you. 
Jimmy Dempsey : Sure, we don't know. We surveyed customers and we know that many of them continue to plan travel this fall. What it appears to us is that, the summer did get very expensive relative to some people's expectations. And so, we actually believe a lot of the demand is going to spill into the fall. And therefore, we have not made an assumption that this environment changes before we get into the heart of winter.  Although I do know that once we get to January, February, it's a heck of a lot better to be in Florida than it is in most parts of Europe. 
Operator: Thank you. One moment, please. Our next question comes from the line of Stephen Trent of Citi. Mr. Trent, your line is open. 
Stephen Trent : Good afternoon, gentlemen and thanks very much for taking my question. Just one or two for me. So the first one is on, definitely appreciate what you guys have mentioned about whether, did you see sort of any episodes in July where - let's say, extreme heat in places like Vegas. You know, maybe let you don't bump some daytime capacity into the evening for example? Or it's kind of we are primarily talking about thunderstorms were the main headache? 
Barry Biffle: The biggest challenge is simply that we are seeing more ground delay programs and we're seeing them put on much sooner and for much longer duration than we've seen in the past. I mean, we've seen upwards of five to ten times the amount of ground delay program minutes that we've seen in the system versus years past. So that's the big challenge.  As far as heat goes, yes, I've seen some of those and I know there was a plane stuck – with another carrier that was stuck in the area hot. The only specific thing that we've had is there have been the normal challenges with more tires that are damaged as a result of heat.  And in particular, we did have one day where the temperatures were so high in Las Vegas that it caused temperature warnings to cause the fuel in the aircraft to exceed a temperature warning, which actually had it made cancel flights. We actually have been tankering fuel now in there to mitigate this. But we've had - I think it's probably less than a dozen or two just related specifically to heat. Everything is mainly aircraft control ground delay programs. 
Stephen Trent : Okay. No that's great. I definitely appreciate that. And thank you, Barry and one other quick thing, I appreciate what you've mentioned about long-haul demand and what have you. When we think about Florida, over the last kind of two to three years for a lot of the time that was kind of the only place that was open are you seeing any specific sort of nuances in demand trend aside from more people flying in long haul?  You hearing one or two organizations on a boycott the state, et cetera, et cetera. But I'm not sure if you're seeing anything like that in your data. Thank you.
Barry Biffle: No, we have not seen anything quite like that. There is some theories around temperature like, when it's really hot, you don't necessarily want to go to Phoenix right now and some other places in and it doesn't help when those destinations are actually in the news for being very, very hot. And when you talk to certain hotels, I think they have actually experienced it.  But in our data, we haven't really seen anything in particular that points to a state or a specific destination outperforming or underperforming. In fact, I think if you go back, the COVID recovery in the pent-up demand was very uneven, really benefited the Florida as you mentioned it benefited, even some of the kind of secondary destinations in their off seasons.  And then, it's taken a little longer for the coasts of the New York's the California's to come back. But in our business, we now see out California and bounce back as an example. And so, we see a pretty even recovery forming this big shift to go to Europe this summer and into the fall is look at, it takes money. I mean, if there's so many consumer dollars, when we look at just our customers, we surveyed our customers, not the whole traveling public.  And when we lose 5% of our people to go to Europe, that's a lot of customers. And so, and they're spending a lot of money to go on those trips. So that is a pretty big dent. But we think that it will normalize just like we saw huge spikes to Florida and other places when the pent-up demand hit. I think that we're going to see this moderate. The question is, is it three more months or is it six more months, but it will moderate at some point. 
Stephen Trent : Okay. Really appreciate that Barry. Thank you very much. 
Operator: Thank you. One moment please. Our next question comes from the line of Conor Cunningham of Melius Research. Your line is open. 
Conor Cunningham : Hi everyone. Thank you. Just on this network reshaping debate, you guys had actually started the last quarter and now it seems like there's been a bunch following you. As their adjustments are made Tuesdays and Wednesdays and then capacity is added to the peak days, I think there's some fear around just potential impacts to fares there.  I know you don't want to talk about floor fares, but if you could just provide any expectation around, how much are you spilling during peak days? Or how much do you think you should be getting from a fare share standpoint on the peak days that you're not right now? Thanks. 
Daniel Shurz: Conor thanks for the question. It’s Daniel. I'm not sure there's a huge amount of change coming on peak days. And we are a low fares demand stimulating airline, right? But what you're seeing – what you are hearing mainly and what will I certainly what I've heard mainly as other airlines have talked about, this is really, they're taking capacity out of the days where the revenue isn't strong enough to just it but fine.  Generally speaking as an industry flying, our capacity intensely on peak days because that's where the revenue is highest, that's where the demand is highest. So we think the general trend, and certainly think that the one thing that helps the more capacity comes out the midweek, the more it stabilizes midweek fares. And the more it helps the demand level on that on peak days. But that's all group. That's all we can really say from what looking from here. 
Barry Biffle: I would just add to, look, reality and how revenue has spread across the days of the week is not a new phenomena, what we were just the first ones to point out maybe controversial at the time, and yes, as you point out, it seems like just about everyone has followed us once we've laid the groundwork for them. But what you see, even pre today and go back 10 years, 20 years, is that the midweek capacity is an example your Tuesday and Wednesday, that's when your lowest fares exist traditionally.  And so, what it does actually pulls people from the peak days over to those days, because there's a lower fare option. What's going to happen not only with our changes and now that so many have followed us, there's just going to be a lot less Tuesday, Wednesday seats. So there's going to be a lot less discounting. So, so it generally benefits those days but you also find that it makes your peak days even better, as well.  You typically will see a RASM benefit when you make those trends across every day a week, just simply because you remove the most marginal capacity. 
Conor Cunningham : That's helpful man. And then, you actually faced a fair bit of weather this quarter and, I know you made the adjustments to the modular network. I'm just curious on - I realize a lot of the stuff out of your control from ATC, but just how you held up from a recoverability standpoint given that given the changes in that modular network? Thank you. 
Barry Biffle: Well, there's two things. I’d say one, we often we often see it as a positive that we're diversified and actually very spread across the United States with multiple bases, in multiple jurisdictions. And we pretty much follow all the major travel flows in the United States. Said another way, there's really no way that we're not impacted by weather.  Some airlines that may be operate in the west or north western United States, they've escaped this weather this year. But if you're in - if you like us or in Denver, central time zones, Florida Northeast capacity, we've gotten hit by that. So, we are exposed. In terms of the modularity, what we're learning is, we don't have, we typically don't have the three, four, five up to seven day rolling events, because we only, we mainly only have one and two day crew pairings.  But what we have found is that we're likely to be more impacted on the day up. So, if an airplane goes out and back and has to go through the same weather system twice or in some cases three times, if you catch a two-hour delay every time you go through, by the third leg, that aircraft I can just guarantee you, there's not a crew planning world that that crew hasn't timed out.  So, while it makes us easy to not have these like catastrophic multi-day, week-long events, we are more susceptible on the day that you do have a weather event if that makes sense. 
Conor Cunningham : Thank you. 
Operator: [Operator Instructions] One one moment, please. Thank you. I'm showing no further questions at this time. I'd like to turn the call back over to Barry Biffle for any closing remarks 
Barry Biffle : I want to thank everyone for joining or call today. Appreciate all the questions and we look forward to talking to you next quarter. Thank you. 
Operator: Thank you. Ladies and gentlemen, this does conclude today's conference. Thank you all for participating. You may now disconnect. Have a great day